Operator: Good day, everyone, and welcome to the Cintas Corporation Announces Fiscal 2025 Second Quarter Results Conference Call. Today's call is being recorded. At this time, I'd like to turn the call over to Mr. Jared Mattingley, Vice President and Treasurer, Investor Relations. Please go ahead, sir.
Jared Mattingley: Thank you for joining us. With me are Todd Schneider, President and Chief Executive Officer; and Mike Hansen, Executive Vice President and Chief Financial Officer. We'll discuss our fiscal '25 second quarter results. After our commentary, we will open the call to questions from analysts. The Private Securities Litigation Reform Act of 1995 provides a safe harbor from civil litigation for forward-looking statements. This conference call contains forward-looking statements that reflect the Company's current views as to future events and financial performance. These forward-looking statements are subject to risks and uncertainties, which could cause actual results to differ materially from those we may discuss. I refer you to the discussion on these points contained in our most recent filings with the Securities and Exchange Commission. I will now turn the call over to Todd.
Todd Schneider: Thank you, Jared. We are pleased with our strong second quarter results, which reflect great execution by our employee partners and the comprehensive value proposition we provide to our customers in supporting their image, safety, cleanliness and compliance needs. Second quarter total revenue grew 7.8% to $2.56 billion an all-time high for revenue in a quarter. The organic growth rate, which adjusts for the impacts of acquisitions and foreign currency exchange rate fluctuations, was 7.1%. In the second quarter, we continued to experience strong demand for our services, reflecting the complementary nature of our platform and our unmatched product and service offerings for businesses of all types and sizes. Virtually, every business has a need Cintas is ready to meet, whether it's a front door that needs a mat, a bathroom to service, exit lighting, fire extinguishers and sprinkler systems, first aid and safety needs or an apparel solution. Cintas is continually deepening our value propositions, particularly within our four focused verticals of healthcare, hospitality, education, and state and local government, which continued to perform well. Gross margin for the second quarter grew 11.8% over the prior year to 49.8%, just below our all-time high we set in the first quarter. Operating income of 23.1% as a percent of revenue was an all-time record, an increase of 18.4% over the prior year. Diluted EPS grew robust 21.1% to $1.09. Our strong earnings growth reflects our operational excellence via sourcing and supply chain initiatives, route and energy optimization, and technology enabled efficiency in our facilities. Cash flow this year continues to be very strong with free cash flow for the first six months increasing 34.9% over the prior year. We continue to deploy capital across each of our capital allocation priorities, starting with investing back into our businesses. This strong cash flow generation allows us to focus on making strategic investments in our customers and our employee partners, which positions us to deliver long-term value for our shareholders. Our technology investments remain a significant area of reinvestment. We continue to leverage our SAP system to standardize our processes across our operations. Combined with our focus on operational excellence, we are improving the way our employees work and getting the right products to our customers faster, all of which improves the customer experience and positively impacts our margin profile. At the same time of investing in our customers and employee partners and making strategic acquisitions, returning capital to Cintas' shareholders remains a key priority. Cintas paid a quarterly cash dividend of $0.39 per share last week. And looking ahead, we will continue our opportunistic approach with share buybacks. Before turning the call over to Mike to provide details of our second quarter results, I'll provide our updated financial expectations for our fiscal year, which reflect our strong momentum and confidence in our outlook. We are updating our annual revenue expectations from a range of $10.22 billion to $10.32 billion to a range of $10.255 billion to $10.32 billion, a total growth rate of 6.9% to 7.5%. We expect our organic growth rate to be in the range of 7.0% to 7.7%. We are also updating our annual diluted EPS expectations from a range of $4.17 to $4.25 to a range of $4.28 to $4.34, a growth rate of 12.9% to 14.5%. Cintas' differentiated culture, superior products and services, and industry best talent position us to deliver meaningful value creation in fiscal 2025 and beyond. We remain focused on delivering outstanding customer experiences and making appropriate investments in the business to sustain our growth. I thank all of Cintas' employee partners whose outstanding work and dedication to our customers remains the key to our success. With that, I'll turn it over to Mike to discuss the details of our second quarter results.
Mike Hansen: Thanks, Todd, and good morning. Our fiscal 2025 second quarter revenue was $2.56 billion compared to $2.38 billion last year. The organic revenue growth rate adjusted for acquisitions and foreign currency exchange rate fluctuations was 7.1%. Organic growth by business was 6.9% for Uniform Rental and Facility Services, 12.3% for First Aid and Safety Services, 10% for Fire Protection Services, and Uniform Direct Sale was down 9.2%. Gross margin for the second quarter of fiscal '25 was $1.28 billion compared to $1.14 billion last year, an increase of 11.8%. As Todd mentioned, gross margin as a percent of revenue was 49.8% for the second quarter compared to 48% last year, an increase of 180 basis points. Robust volume growth, operating leverage and continued operational efficiencies helped to generate this strong gross margin. Gross margin percentage by business was 49.1% for Uniform Rental and Facility Services, 57.3% for First Aid and Safety Services, 49.9% for Fire Protection Services, and 41. 2% for Uniform Direct Sale. Gross margin for the Uniform Rental and Facility Services segment increased 170 basis points from last year. Our progress year-over-year reflects our focus on operational excellence initiatives combined with leverage from strong revenue growth. We continue to realize benefits from our technology investments and extracting inefficiencies from the business through our Six Sigma and engineering teams. Gross margin for the First Aid and Safety Services segment increased 280 basis points from last year with strong revenue growth continuing to create leverage. Our sales mix remains favorable with more profitable first aid products and increases in our recurring revenue products like AED rentals, eyewash stations and WaterBreak. Our technology investment in SmartTruck provides route optimization and improved efficiencies. And we continue to see sourcing benefits from our first aid dedicated distribution center that have allowed us to lower product costs. All of these contribute to improved margins. Selling and administrative expenses as a percent of revenue was 26.8%, which was relatively consistent with last year. Second quarter operating income was $591.4 million compared to $499.7 million last year. Operating income as a percent of revenue was 23.1% in the second quarter of fiscal '25 compared to 21% in last year's second quarter, an increase of 210 basis points. Our effective tax rate for the second quarter was 20.7% compared to 20.9% last year. The tax rates in both quarters were impacted by certain discrete items, primarily the tax accounting impact for stock-based compensation. Net income for the second quarter was $448.5 million compared to $374.6 million last year. This year's second quarter diluted EPS of $1.09 compared to $0.90 last year, an increase of 21.1%. As Todd mentioned, earlier, we continue to generate strong cash flow. Through the first six months, our free cash flow increased 34.9% over the prior year. This great cash flow over the first six months has allowed us to deploy a total of $1.3 billion of capital across each of our capital allocation priorities of capital expenditures, M&A, dividends and share buybacks. Todd will provide our annual financial guidance related to the guidance. Please note the following. Fiscal 2025 net interest expense is expected to be approximately $101 million compared to $95 million in fiscal '24. predominantly as a result of higher variable rate debt. Our fiscal '25 effective tax rate is expected to be 20.2% and guidance does not include any future share buybacks or significant economic disruptions or downturns. I'll now turn it back over to Jared.
Jared Mattingley: Thanks, Mike. That concludes our prepared remarks. Now we are happy to answer questions from the analysts. Please ask just one question and a single follow-up, if needed. Thank you.
Operator: [Operator Instructions] And our first question comes from Tim Mulrooney from William Blair. Please go ahead, Tim.
Tim Mulrooney: Yes. Hi. Thanks for taking my questions. I wanted to ask about your guide on organic growth. It looks like it came down slightly at the high-end from 8.1% to 7.7%. Just curious what the reason for that was, if second quarter sales came in below your expectations or if the outlook for the second half of the fiscal year, it's shifted slightly? I know it's a small number, but just curious if you had any comment there.
Todd Schneider: Good morning, Tim. Thanks for the question. First, we're pleased with our organic growth rate of 7.1%. It's very good and it's right where we'd like to be. And our second half guide implies a continuation of that good growth, mid to high single-digits. The rental division is right in line where we like it to be. And the First Aid and Fire divisions both grew double-digits. So, they continue to perform well, and the value proposition continues to resonate. So, we like where we are, and we think that our guide reflects attractive growth for the year and the back half of the year as well.
Mike Hansen: And Tim, I might offer a couple of things on the guide as well. The workday adjusted revenue for the year is now 7.7% to 8.4%. So, a really nice range for us. And as you said, the organic revenue growth of 7% to 7.7% is a really good year for us and not much of a change, but maybe I'll give you a little a bit of thoughts on the implied growth as well. So, if you think about that guide that we just gave, it implies an organic growth rate range of 6.6% to 7.9% for the back half of the year, and that's the same implied growth rate that we had in the guide last quarter for the final three quarters. So, in other words, that implied guide hasn't really changed. And so, we -- again, as Todd said, we had a nice quarter and the outlook for the second half of the year really hasn't changed all that much, still a really good year both in total growth and in organic growth.
Tim Mulrooney: Okay. That's good color. It sounds like just some fine-tuning around the edges and continuation of what you've been doing. So that's very helpful context. Thank you. For my second question is, I just wanted to touch on the incremental EBITDA margins, 60%, I think, in the quarter, obviously, very impressive, well above Street expectations. Just putting my analyst head on and trying to pick this apart a little bit, curious, if there's any one offs or discrete factors that we should be considering that we're either favorable to this year or unfavorable to last year that might help explain some of the strong outperformance because 60% is obviously just really, really high? Thank you.
Todd Schneider: Well, Tim, no one-offs to speak of. We're getting good leverage from our revenue growth. So, the revenue growth is really helping us to get leverage. We've spoken in the past about, we've got programs initiatives to extract out inefficiencies in our business, and that continues to go well. Our Six Sigma Black Belt team, our global supply chain, our engineering teams are all functioning at high levels and allowing us to extract out improvements throughout our organization. So, no one-offs to speak of, and we're trying to get great leverage on the revenue and then extract out inefficiencies and that plan is working.
Operator: Thank you. And our next question comes from Andrew Steinerman from JPMorgan Securities. Please go ahead, Andrew.
Andrew Steinerman: When talking about the organic revenue growth of 7.1% in the quarter, could you just give us a sense if price realization has kind of now returned to the long-term average increase? And then also, did ad stop change much when looking at the November quarter year-over-year versus the August quarter year-over-year?
Todd Schneider: Good morning, Andrew. Obtaining price increases is more challenging than it was in the past, compared to earlier portion of the calendar year and the first quarter, but we're still able to obtain price increases. They are right at about our historical levels now, which makes sense, since we continue to see price increases coming down as inflation has come down. And in spite of this, I'm really proud of the organization being able to increase margins, while extracting out those inefficiencies I spoke about earlier. And as was mentioned with Tim previously, our incremental margins are really strong. As far as -- why don't I just speak a little bit about customer behavior in general? I mentioned price increases. New business is quite strong. Our retention rates are still at very attractive levels. Ad stops, I would say no significant changes there. Catalog spending was down a little bit. But overall, the business is functioning at a high level, and the macro data seems to be pretty stable. And the second half guide, I think, reflects that, we're going to have a -- we plan to have a very good year, and not only the first half, but the second half reflects that.
Operator: And our next question comes from Jasper Bibb from Truist Securities. Please go ahead, Jasper.
Jasper Bibb: Good morning, guys. I want to ask about the proposed tariffs from the new administration and potential impact on your material costs, if those proposals come through. I think you previously talked about a bit of inflation on hangar costs from tariffs on China during the last Trump administration. Is there more sourcing coming through Mexico, Canada, or China that could potentially be impacted?
Todd Schneider: Good morning, Jasper. Certainly, we're watching all those items very closely with tariffs. It's still way too early to tell exactly what's going to occur there, but I know this. We have a world-class global supply chain, and they're positioned to pivot as necessary. We're already in a position, where we dual source over 90% of our products. So, those multiple sources include also geographic diversity. So, I think we're in a good spot to -- because when those types of challenges that we may face in the future or the world will face, our global supply chain will have a chance to shine. And I'm confident that, that's exactly what they'll do and we'll pivot as appropriate, but we're in a good spot.
Mike Hansen: Jasper, I might, just as a reminder speak to our rental material cost. So, in the rental business you might keep in mind that, we amortize the costs of our garments, our mats and other products over some period of time. And that allows us time to have our global supply chain adapt to the current situation, maybe make some changes, but also it allows us to recognize those costs over a longer period of time. In other words, we don't recognize that cost in our P&L right away, and that allows us to do other things like not just sourcing changes, but also how to think about our initiatives that we've got going on in the business, and how to think of future price increases and so on. So, just as a reminder, our ability to amortize a good chunk of our materials can really be a benefit in a time when uncertainty like this related to these tariffs.
Jasper Bibb: Thanks for that. And then maybe to follow up on Tim's earlier question, is there anything you think might make incremental operating margins moderate in the second half versus the first half? I mean, on my math, adjusting for working days, incremental operating margin was well north of 40% in the first half, and it seems like guidance imply a pretty material step down in increment for the second half. Is there anything specific driving that first half, second half split?
Todd Schneider: Nothing specific, Jasper. Certainly, running a business isn't linear. But when you look at our guide for the year, we think we're in a really good spot to grow our operating margin, our EPS, so attractive margins for the year, and we think we're in a good spot to deliver that.
Mike Hansen: You might remember Jasper that our -- we want to be in an incremental of 25% to 35%. And while we are above that in the first half of the year, our expectation is longer-term, we're going to be sort of in that range and that's what we have guided for the back half of the year. We will likely be closer to that range. It's hard to think that we would be in a 40% to 50% incremental longer-term. But as Todd said, we've got a lot of initiatives that are really working for us.
Operator: And our next question comes from Manav Patnaik from Barclays. Please go ahead, Manav.
Manav Patnaik: Yes. Thank you. If I can just follow-up on that, the top line guide that you lowered by 40 basis points. It sounds like all you said all your expectations have kind of remained the same, but you still lowered it. So just curious is that -- can you just help us with why you lowered it by 40 bps? Maybe the catalog sales that were down, is that what it was? Just any color there would be helpful.
Mike Hansen: Manav, it's a little bit of math, right? The implied guide is about the same today as it was -- for the second half of the year as it was after the first quarter. But we've got another quarter in the books. Our Q2 at 7.1% comes right in the middle of that range. And so, that's really -- it's that's the math of seeing it go from 8.1% to 7.7%, but the implication of that guide for the rest of the year is still the same as what we called out after our first quarter. Does that make sense?
Manav Patnaik: I mean, I guess, are you saying that, maybe this quarter perhaps then come in better than maybe what you would have thought?
Mike Hansen: Well, it’s -- this quarter is sort of in the middle of that organic revenue guide that we've given.
Manav Patnaik: Okay, fine. And then if I can just follow-up, sorry, go ahead if you were saying something.
Mike Hansen: No, go ahead.
Manav Patnaik: I was just going to say the M&A in the quarter, just it seems -- like you were pretty active. So just curious in which areas and anything to call out there?
Todd Schneider: Manav, I'll speak to that. Good morning. M&A is hard to predict. We've been pursuing businesses in all of our route-based businesses, as long as I can remember, and we did have a good quarter with M&A. We bought some businesses in each of our areas. And those, we get some -- we're after really good quality businesses that can position us to obtain synergies in certain cases and then help us with an offering, a broader offering to that customer base. So, yes, we like the businesses we're buying. They're very complementary, and they're quality businesses, and we think that's going to be a good long-term investment for our organization.
Operator: And our next question comes from Josh Chan from UBS. Please go ahead, Josh.
Josh Chan: Hi, good morning, Tom, Mike, Jared. I guess, on the guidance question, maybe I can ask it this way. I guess, as compared to the scenario where you would have held your top-line guidance, the top end of your top-line guidance, like what did not happen, I guess? What did you not see to allow you to kind of hold that? I guess maybe that helps to ask that question a little bit.
Todd Schneider: Well, Josh, as I described earlier, the pricing environment is -- obtaining price increases is more challenging than it was. And as that we're still able to obtain price increases, but it's more challenging. It's back to historical levels. So, we're having to grow off of over and above that. So, just tightening that up a little bit. But, when you look at -- as Mike spoke of, when you look at the back half of the year, organic of -- implied organic of 6.6% to 7.9% and workday adjusted growth of 7.3% to 8.6%. It's right where we want to be, and we like that, and we think we're well positioned to achieve those results.
Josh Chan: Certainly, that's still very good growth. And then maybe my follow-up on fire, obviously it grew 10% this quarter that's really strong. But I guess in prior quarters it had been above that. So, was there any abnormality in fire this quarter or do you think it's just normal fluctuation?
Todd Schneider: Yes. Josh, no abnormality, to speak of. They were coming off a pretty attractive growth rate last year. But no, we think we're really well-positioned there to continue to grow that business, at the levels, at double-digits levels. And the team has organized around that and positioned it, and that's what we certainly expect in the future.
Josh Chan: Great. Thanks for your time and good luck in the second half.
Operator: And our next question comes from George Tong from Goldman Sachs. Please go ahead, George.
George Tong: Hi, thanks. Good morning. You mentioned new business and retention rates were strong in the quarter. Can you talk more about what you're seeing with customer sentiment and customer purchasing behaviors and how they've evolved over the course of the quarter?
Todd Schneider: Good morning, George. Besides what I mentioned with customer behavior, not much has changed there. The sales cycle, it's not elongated. It's pretty similar to what it has been in the past. We're still selling about two-thirds of all of our new accounts are no programmers, and that's exciting to us, because the pie is massive out there, because as we've talked about, we serviced a little over a million business customers, and there are 16 million businesses in North America. So, that makes it really attractive. Now, that being said, those businesses that we're selling, it's not always new money. They're wearing clothes, garments. They've got items to help keep their facilities clean and maintained. We can do it better, faster, smarter, cheaper in certain ways, certain times that allows for those customers to accomplish their objectives more in a better fashion. So, no changes there. We're still selling a significant amount of no programmers, and the future looks bright there because there's just such a massive quantity out there of no programmers.
Operator: George, do you have a follow-up question?
George Tong: Yes. Sorry, I was on mute. So, on the margin side, you're seeing good benefits from sourcing and supply chain and routing. Can you talk a little bit more about where you are in your journey in terms of unlocking additional efficiencies from what you've already achieved? In other words, are you -- would you say you're still in the very early innings of what you hope to achieve with efficiencies or are you towards the middle or towards the later stages of what you hope to accomplish?
Todd Schneider: Thank you, George. Part of our culture here is a culture of positive discontent. We are constantly looking for ways to improve. And so, you're going to continue to see improvements in those areas. There's a long list of initiatives that we are constantly focused on and we're excited about, because and the team has done one heck of a job in that area, whether I mentioned sourcing, engineering, Six Sigma. It's been an impressive performance, and they still have a big to-do list.
Operator: And our next question comes from Shlomo Rosenbaum from Stifel. Please go ahead, Shlomo.
Shlomo Rosenbaum: Hi. Thank you for taking my questions. Just to talk a little bit about the guidance a little more on the top end. But I'd like to ask a little bit about the M&A, it looks like you did about $145 million in acquisitions in the quarter. Could you talk about how much those acquisitions are expected to add to revenue in this fiscal year? And if there -- where exactly would they be falling out mostly? Would it be mostly in the laundry and in the uniforms, or was there something else that you made that was sizable excuse me, that didn't hit the news? And then, I'll have a follow-up.
Mike Hansen: Shlomo, we did make some nice acquisitions in the rental space. We've also made some in the Fire and First Aid and Safety space. But the rental space, we did have some nice acquisitions. We don't typically get into exactly the amount of those. They are sort of local market to maybe a little bit of regional, but really nice players in the market and we're excited about it.
Shlomo Rosenbaum: Okay. The reason I was asking is because there's a huge focus on kind of that tweaking of the guidance on the top end. The commentary about the pricing being a little bit tougher, just to dimensionalize it would be helpful to know how much we should be expecting in terms of incremental M&A. So that's where that question is coming from. But the second question, the follow-up I have, could you give a little bit more color on the growth of the targeted verticals? Specifically in the quarter, did some do better than others? Maybe just give us a little bit more detail in terms of how much of the growth is being driven by those verticals, some of them accelerating versus decelerating, just so we get a sense, as to how the efforts are progressing there?
Todd Schneider: Shlomo, our four focused verticals are performing well. They have been and continue to perform well. They perform at above our normal operating levels of growth and we expect them too, because they're focused verticals. And I think it's important to understand, it's not just a sales focus in those areas. We organize around those. We have teams of leaders and partners that are focused on understanding those businesses, understanding products and services that are important to them. And so, they're in that world, and they're delivering great results and helping customers accomplish their objectives better and we expect that to continue. But that's been baked into our business for the past few years, and we suspect that that will continue to occur.
Operator: And our next question comes from Ashish Sabadra from RBC. Please go ahead, Ashish.
David Paige: Hi, good morning. This is David Paige on for Ashish. I was just curious, if we could -- if you could just give us some sense on how the Uniform Direct sales performed in the quarter? Was it in line with your expectations? And then not to go back to it, but how is that playing Uniform Direct specifically playing into your organic revenue growth guide for 2025? Thank you.
Todd Schneider: Good morning, David. Our Uniform Direct Sale business, as we mentioned, was down in the quarter. It's a strategic business for us that sells into Fortune 1000-type customers, airlines, hotels, casinos, those types. So, that business can be quite lumpy, and it was negative in the quarter. But keep in mind, we sell many things into that customer base. It's not just direct sale. So, it's been a strategic area for us to sell, whether it's rental garments or facility services. Our Fire and our First Aid businesses all sell into those. So, it's a real strategic market for us. And again, that business can be a little lumpy, and it certainly went backwards in Q2. But we like that market, and we like the solutions that we're providing those customers.
David Paige: Okay, great. That's helpful. And then, I know you mentioned that, your focus verticals are continuing to perform really strong, but was there any specific vertical either within the focus or outside of the focus verticals that performed I guess that stood out of the quarter or performed really well? Thank you.
Todd Schneider: David, nothing specific to call out regarding the four verticals. They're all performing well, and we've been investing to make sure that, we're positioning them for the future to get the right products, the right services for those customers. And it's showing in their results, and we expect that, that will continue.
Operator: And our next question comes from Andrew Wittmann from R.W. Baird. Please go ahead, Andrew.
Andrew Wittmann: Yes, thanks. Good morning, guys. I just thought maybe, Mike, I'd give you an opportunity to talk a little bit more about the margin profile here today. Obviously, results were good. But could you just talk about any categories in particular? Obviously, you called out the energy, always call it the energy, but maybe other key categories, merchandise costs, maybe route costs in general beyond just the energy there. Other things in the plant or things in SG&A. Just help to understand some of the puts and takes on that line item with gross margins now having been consistently above people's expectations now for several quarters in a row, I thought maybe opportunity to drill into that a little bit more would be helpful.
Mike Hansen: Sure. And as you know within our and I'll speak to rentals. As you know in our cost of rentals there are -- you can think of three buckets right the material cost, the production cost which is the cost associated with our operating our laundry facilities and the service costs. So, that's the routing. And the really good news, Andy, is we've got initiatives that are working really well in each of those. And so, over the last year, couple of years, we've seen improvements in all of those areas. So, material cost, Todd talks about our global supply chain. It has operated so well for us and continues to do so, and is constantly looking for better ways to source. In addition to that, you've heard us speak to a garment sharing. So, this goes to the stockroom and when we share garments, that means, we have better utilization out of those garments and we order fewer garments, new garments from our distribution centers. In other words, that is allowing us to put fewer garments into service, meaning our amortization tends to come down. That's been a really good area for us over the course of the last year or two years. If we move to production, we've talked a lot about operational excellence and things like making sure we are perfectly loading the washers and dryers has been really important for us. We are automating our sortation. As you know, once those garments come out of the dryer, we have to sort them to get them back to the customer, and we've got initiatives going on, that are automating that sorting and that allows for efficiencies in the production department. So, the wash alley has become more efficient, the sorting has become more efficient and that helps overall production costs. And then, you continue to hear us speak to a SmartTruck. It's just a new way of life for us, but it continues to allow us to leverage the service costs and the that bucket. And so, when we are able to be better at routing, that means fewer trucks need to be purchased, fewer routes being opened and we are just more efficient. Todd always talks about we don't make money when the truck is moving and effectively the truck is not moving as much as it has been in the past. So, really nice performance there. The other thing that SmartTruck allows us to do is save on energy because we can do things like monitor idling, and our idling is down and that means we are more efficient with our energy spend. So, Andy, those are a few of the components of those different buckets that are operating really well. And as you hopefully can pick up, those aren't sort of one-timers that go away. Those are all sort of new ways or more efficient ways of doing business.
Andrew Wittmann: Got it. Thank you for that context. Maybe just for my follow-up, I'd say over the last 18 months, it kind of feels like there's been more national account business that's kind of hit the market and its traded hands. Obviously, there's always some of that and it's not new, but because there was a bit more of a flurry around that, I would just thought -- I would kind of talk to you about getting your thoughts about a national account business today. How much is trading compared to historical levels and what you're seeing in the pricing dynamics specifically related to that segment of the marketplace?
Todd Schneider: Andy, nothing specific there. It's always been a highly competitive market. Our business in general is highly competitive, and our team has done a great job with pursuing those, retaining those. And certainly, those wins are nice, but we're trying to build our business around selling, growing the pie of customers. We think that's really attractive, and there's a massive opportunity there. So, that's where we're focusing our business is, selling those node programmers, providing great value for them. And so often, when we get in there and we talk to the customers, they don't even realize Andy, nothing specific there. It's always been a highly competitive market. Our business, in general, is highly competitive. And our team has done a great job with pursuing those, retaining those. And certainly, those wins are nice, but we're trying to build our business around selling, growing the pie of customers. We think that's really attractive and there's a massive opportunity there. So, that's where we're focusing our businesses, selling those no programmers, providing great value for them. And so often, when we get in there and we talk to the customers, they don't even realize that what we provide and the fact that our average customer is relatively small. Many of our customers think that they're not big enough to have a service like what we provide. And so, it's -- our role is to get out there and talk to them about it and make them aware. And that's helping to grow our business, and we like where that's heading.
Operator: And our next question comes from Toni Kaplan from Morgan Stanley. Please go ahead, Toni.
Toni Kaplan: I was hoping to go back to the direct sales business, and I'm less focused on the quarter because I think the comp was fairly tough. But just when you think about how fast that line of business should grow over time. How should we be thinking about that? And could you also give us an update on what percent of your customers are buying products or services across more than one segment?
Todd Schneider: So, Toni, as far as the direct sale business, we tend to grow our other businesses faster than that business. Now when you think of that group of customers, they're growing at, I'll call it, normalized levels. But the direct sale business specifically is not growing. It wouldn't -- we wouldn't expect it to grow at the levels of our business in total. So, as we look at it, we're -- we see many of those customers are very interested in those products, which gets us in the door, and then we can sell many other products and services to them. As far as any particular percentages, we see -- I don't think we've given out specific percentages of how many customers use what products and services. But we have -- we are still in the very early innings of cross-selling across our business. So, we're focused on doing that, but we're also focused on adding new customers whether they be up and down the street customers or more regional in nature. We think there's an amazing opportunity to sell more into our current customer base and even more amazing opportunity to bring additional customers on because we service a little over one million businesses, and there's 60 million businesses in North America. So great opportunity.
Toni Kaplan: Yes. Great. And then on first aid margins, they've really ramped up over the past few years. You mentioned the favorable mix and sourcing benefits in this quarter. I guess, should we expect those to be sustainable? How big were those benefits? And maybe just in general, like the margins were very good. And so, like how are you thinking about the right level of investment, how much -- should you be investing more, for example?
Todd Schneider: Great, Toni. Thank you. We love the first aid business. It's growing really attractively. As you mentioned, the margins are very good. And it's not linear. So, there's puts and takes in every quarter. But we suspect that these margins will be sustainable. And nothing specific to call out besides the fact that we're continuing to get very good efficiencies from our dedicated distribution center in first aid. The mix of business is very attractive in what we're selling. It's repeat revenue. And we are investing heavily. And I think you're seeing that in the growth rates that we've experienced and expect to continue experiencing in that business. So really good business, and we're investing to grow it at very attractive levels.
Operator: And our next question comes from Faiza Alwy from Deutsche Bank. Please go ahead, Faiza.
Faiza Alwy: So, I wanted to ask a little bit more about the pricing comments that you made. And I'm curious if you're seeing more difficulty in taking pricing across the board, or is it more specific products, categories, verticals, maybe to Andy's question earlier is that around some of the national accounts. Just more color on -- is this -- and perhaps if you can help us dimensionalize the deceleration in pricing that you've seen and what you expect from here?
Todd Schneider: Faiza, as I mentioned, it's always been a very competitive environment that we've operated in. My entire career has been. And as far as price adjustments, it's pretty well. It's more of a general position that price increases are more challenging than they were several -- in the first quarter. And -- but nothing -- no real changes besides the fact that inflation has come down significantly. And with that, it's very reasonable to think that price increases will come down as well. So, we are facing that. But nevertheless, the team is doing one heck of a job and in growing the business in spite of that and finding efficiencies to grow margins in spite of that as well. So very bullish on the future and proud of what the team is accomplishing.
Faiza Alwy: Great. And then I wanted to ask about M&A. We've seen some increasing activity in M&A. And I'm curious what you're seeing in terms of valuation expectations and just the opportunities out there? What's the environment like?
Todd Schneider: Faiza, trying to predict M&A, it's challenging because it really depends upon if it's a local business, it takes, in many cases, some type of an event to occur where a family member decides to move on from the business that would trigger something like that. So, it's tough to predict it. I can say this, we're very active -- and we are most active in the best businesses because we want to buy really good businesses that can -- they have great customer bases, they are happy, have great employee partners that can come into our organization. And then the ability to extract out inefficiencies, whether it gave us some additional capacity that we can leverage or routing capacities. All those items are opportunities for us. So, trying to predict it's tough. But we do -- we're very active. We think it's a very strategic investment for us long term.
Operator: And our next question comes from Stephanie Moore from Jefferies. Please go ahead, Stephanie.
Harold Antor: This is Harold Antor on for Stephanie Moore. So, I just want to piggyback on one of the questions about the Company's freight cost. I know, in Costco's, you talked about some of the innovations you've done in the health care sector in terms of providing curtains and stuff. So, I just wanted to ask, what other innovations have you done in some of your other vertical across hospitality, state and local governments? And then I guess the follow-up on that would be, help us understand the incremental margins, how they've trended in these new innovative products and I guess, the increase in revenue that you have seen in those business from these innovations?
Todd Schneider: Harold, thanks for the question. I'll answer the first half. As I mentioned, we do organize around those verticals. The health care is the one that I think I'll speak to that whether it is microfiber mops that we -- our customers are using to keep patient rooms and common areas clean to help prevent the health care-acquired infections. So, that’s very important to them. Certainly, we have provided technology around dispensing of garments that has really helped our customers not just in the health care vertical, but all verticals where they can control the dispensing of inventory, which allows them to ensure that people have the garments when they need them, but also control any loss that occurs. So that's been important to our customers. in general, health care specific just because of when you think of health care, they tend to wear scrubs, which normally was a kind of a commodity item because they would put them on a shelf and then they would disappear through some type of -- wherever they would end up. So, that's been really valuable to our customers. And then lastly, you cited the privacy curtains. We learned of this issue with our customers, spending time with the customers and asking them where they need help. And this item continued to come up where they said it's a significant compliance problem for them. It certainly affects health care acquired infections. And those are two really strong buying motives for our customers. So, we came up with technology that allows for us to help them with that. They came up with a patented product that allows us to help them with that. And the customers are embracing it. They very much like it. They struggle to find labor to handle it, and we're able to help them with that solution. So, I think that's attractive and we'll continue to invest in the future for those customers.
Operator: And our next question comes from Scott Schneeberger from Oppenheimer. Please go ahead, Scott.
Scott Schneeberger: I want to follow up a few M&A questions in here. And guys, I understand there's limited color you'll share there. But this was, I think, the biggest quarter of M&A since all the way back to G&K fiscal '16. And you said it was across a few of the business lines you serve. But was it -- was there any one particularly large acquisition in one area? And I'm just curious kind of is it -- as a follow-up on this topic, what are you looking for in M&A right now? What type of I think the multiples? But -- just if you could talk about prevailing multiple, that would be great, what you're seeing out there? And what are you looking for? Are you looking to add technology? Are you building out vended laundry, on-premises laundry? Just curious, are there some areas you might be moving into?
Todd Schneider: Scott, thanks for the question. We're active across all of our route-based businesses and acquiring business. What are we interested in? We're interested in quality businesses, buying really good businesses with great customer base and great employee partners. Those are usually the businesses that have invested in making sure that they are positioned to take great care of customers and their employees. So those are the ones we're interested in. We don't get into multiples. But as far as the focus its quality businesses that are in the businesses that we're in is what we bought. And so, nothing out of the ordinary there, and it's across each of the route-based businesses. We think we're in a really good spot to do that. And then once we do it, we certainly are interested in extracting out synergies. We get, in certain cases, really good capacity. And then -- and what we always get is a customer base that we can sell more into and provide more value to those customers. So, our focus is on buying great businesses with great people and great customers. And when we do that, really good things happen.
Scott Schneeberger: Great. And just as a follow-up, I don't think we've discussed myCintas portal on in earnings call in a while. A progress report on that, and just curious, is that contributing at all? It could be -- it's been around for a few years now. Is that contributing at all yet to the impressive margins that we're seeing?
Todd Schneider: Yes. Thank you, Scott. myCintas has been important to our business, important to customers. It allows us to provide our customers an opportunity to manage their account, manage it on the time that they want to do it. We've always had the ability to -- we're going to see our customers for the most part, every single week. Certainly, they can call if they need anything. But that interaction in person on a weekly basis is really, really valuable. But it doesn't mean that the customer wants to do business or all their business right then. They may not even be available at that point. So having an electronic portal that allows for them to manage their business, pay their bill. It's just another conduit that makes us easier to do business with for the customer and that's important to us. So, it allows for that. It allows for us to the customer pays their bill, there is no cash application. So, it's meaning that it goes right to the account. So, we don't have to apply it. So, there's efficiencies there if they're managing their account and they're not calling in, there's efficiencies there, right? So -- but it just allows the customer another conduit, and many of them really, really like that conduit and which allows for them to be happier and us to get efficiencies and a better relationship with the customer.
Operator: And our question comes from Jason Haas from Wells Fargo. Please go ahead, Jason.
Jason Bibb: I'm curious if you could help quantify where we are in terms of the price increases relative to history? Are we still like close to 3%, and we're sort of on a path back to 2%? Or how would you describe it? And then, are there certain verticals or industries where you find it a little bit easier to maintain those prices?
Todd Schneider: Jason, thanks for the question. Yes, as I mentioned, historically, we're in the 0% to 2% price increase range. We've been above that, with inflation being well above that, certainly, well below those peaks of inflation. And as a result, our price increases are now back into that historical range. And it's tough to predict what inflation looks like moving forward. We watch what the Fed is trying to figure out. And -- but we're watching that very closely, and we will manage it appropriately moving forward.
Jason Bibb: Got it. That's very helpful. And I guess I'll talk to this. So, are there any verticals that it's easier to maintain those prices? Or is it all sort of -- is it all reverted back to that historical 0% to 2% range? And then I also wanted to just follow up on the incremental margins because those were really strong in the first half. And I know you said that we're -- the expectation is we'll get back to more sort of normal targeted levels for the second half, I was just curious like what the drivers of that would be? So, what changes from the first half to the second half that causes those incremental margins to come down?
Todd Schneider: Jason, so as far as any verticals, is it able to -- are we able to obtain better price increases in any one particular? I wouldn't say so. It's probably pretty darn reflective of the market in general. So as far as incrementals in the back half of the year, yes, we had -- as I mentioned, it's not linear. So -- and we had some really good incrementals in the first half. But we like that 25% to 35% range, and that's what we're guiding towards, and that's what we're organizing around as well. So, with that, I think you should be thinking about.
Mike Hansen: Yes. Sometimes it's tough comps relative to last year. We had a really good second half of the year margin. And as Todd said, sometimes it's just timing of investments. It is not going to be a straight line for sure.
Operator: And at this time, there are no further questions. I'd like to turn the call back over to Jared for closing remarks.
Jared Mattingley: Thank you for joining us this morning. We will issue our third quarter of fiscal '25 financial results in March. We look forward to speaking with you again at that time. Thank you.
Operator: This now concludes today's conference call. Thank you for your participation. You may now disconnect.